Operator: Greetings and welcome to the Caesarstone's Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brad Cray of ICR. Thank you. You may begin.
Brad Cray: Thank you, operator, and good morning to everyone. I am joined by Yuval Dagim, Caesarstone’s Chief Executive Officer and Ophir Yakovian, Caesarstone’s Chief Financial Officer. Certain statements in today’s conference call and responses to various questions may constitute forward-looking statements. We caution you that such statements reflect only the company’s current expectations and that actual events or results may differ materially. For more information, please refer to the risk factors contained in the company’s most recent annual report on Form 20-F and subsequent filings with the SEC. In addition, on this call, the company will make reference to certain non-GAAP financial measures, including adjusted net income, loss, and adjusted net income loss per share, adjusted gross profit, adjusted EBITDA and constant currency. The reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company’s third quarter 2020 earnings release, which is posted on the company’s Investor Relations website. Thank you and I would now like to turn the call over to Yuval. Please go ahead.
Yuval Dagim: Thank you, Brad, and good morning, everyone. The benefits of our team's collective efforts are emerging with visible progress evidence in our third quarter results. During the quarter, we were encouraged with a sequential improvement in year-over-year sales trends compared to the second quarter 2020. We also effectively controlled cost to accomplish our highest adjusted EBIT da and margin in over two years. Furthermore, we generated substantial cash flow from operation over $28.2 million, further strengthening our available financial resources. Our strong working capital management has provided us with significant flexibility to continue executing against our strategic plan. In addition, following the improvement performance of our business, we have resumed several initiatives that were postponed following the onset of COVID-19 pandemic with a mission to be the first global brand of choice for countertop. Caesarstone strategy includes three pillars; premium multi material offering, customer experience and engagement; and global footprint expansion. These three strategic pillars are integral to unlocking Caesarstone potential and are all managed under our global growth acceleration plan. The majority stake acquisition Lioli, a producer of cutting-edge, porcelain countertops slabs represents a major milestone in our objective to become a leading global multi-material, premium countertops brand of choice. Porcelain is one of the fastest growing countertop categories. And this acquisition provides an attractive opportunity to complement Caesarstone established presence in the engineered cloth surfaces. The Lioli is located in the center of Indian porcelain hub equipped with top of the line Italian manufacturing technology and the cost effective vertically integrated operation to efficiently supply porcelain countertop products. Lioli is directly aligned with our strategy to leverage our brand distribution, sell in global scale to efficiently enlarge our addressable market and to further advance Caesarstone as the brand of choice for countertop around the world. We will provide premium, multi-material countertop offerings as we move through 2021 with porcelain being marketed alongside quartz in all regions under our leading global Caesarstone brand. In addition, we are investing in technology and new engagement tools that we expect to launch in several markets in the coming months to significantly strengthen our sales and marketing capabilities, which we believe will enhance our customers' experience. Overall, our plan is progressing, our performance is improving. We have brilliant talent in place to further execute our strategy and we remain confident in the prospect of our business as the recovery continues. With that, let me turn the call over to Ophir who will provide details on our results and outlook.
Ophir Yakovian: Thank you, Yuval, and good morning, everyone. I will start by discussing our third quarter results. For the third quarter of 2020, global revenue was $123.9 million, compared to $142.8 million in the third quarter of last year. On a constant currency basis, third quarter revenue was lower by 14.4% compared to the same period last year. The majority of the adverse revenue impact was primarily business disruption related to COVID-19 in our Americas region, which I will further detail shortly. However, we are encouraged to see business activity improving in the third quarter compared to the second quarter and expect further improvement in the year-over-year trend in the fourth quarter. Looking at other markets; in the Americas, our largest region, inconsistent state and local shelter-in-place guidelines continue to have an ongoing impact on business activity. In the US and Canada, the fact that IKEA stores were closed for the majority of the second quarter significantly reduced our order backlog, which naturally had an unfavorable impact and accounted for approximately half of our North American sales declined in the quarter. This impact to our big books channel was partially offset by increased activity at US Home Depot stores where we have an expanding presence. Core sales were down due to shelter-in-place guidelines and social distancing practices, limiting installation at some residential job sites. In the APAC region, Australia accounts for the majority of our sales and performance has been better than our expectations. That said, the soft market conditions that existed prior to the pandemic continued to be unfavorable factors impacting that market. In the EMEA region, both our indirect and direct sales were impacted by the aftermath of the first lockdown. Recent government restrictions are also reemerging in certain parts of Europe, and may slow the recovery in. In Israel, a second pandemic shelter-in-place order was issued in the second half of September, and resulted in slight year-over-year decline in revenues. This order was partially lifted during the second half of October, but is expected to impact Q4 performance [Indiscernible] Looking at our third quarter P&L performance; our improved third quarter margin performance and bottom line results benefited from our focused execution of initiatives to improve efficiencies across our business. Adjusted gross margin was 31.4% compared to 29.9% in the prior quarter. The higher year-over-year adjusted gross margin mainly reflects improved product mix, lower raw material costs and improve efficiency partially offset by the impact of lower sales volume; lower selling prices and less favorable regional mix. We continue to evaluate our level of production capacity to meet the expected demand. To date, we are pleased with our ability to flex capacity and control inventory, which has helped us to carefully manage our working capital. However, it is important to note that the effective capacity utilization of our plants is currently running at less than 70%. And as we ramp up production in future quarters, this will likely have favorable impact on our gross margins. With that point, we expect our fourth quarter gross margin to be lower quarter-over-quarter, but slightly higher year-over-year. Excluding legal settlements and loss contingencies, operating expenses for the quarter were 18.8% and benefited primarily from previous efforts of our global growth acceleration plan to improve efficiencies, combined with tight cost control from our business continuity measures, driving lower marketing and sales expenses, as well as lower general and administrative expenses. As we see an improved business environment, we expect to increase our sales and marketing expenses to support our brand and future growth. Adjusted EBITDA in the third quarter was $23.7 million, representing a margin of 19.1% compared to $22.5 million, a margin of 15.8% in the prior quarter. This performance primarily reflects the higher gross margin compared to last year, in addition to lower operating expenses, excluding legal settlements, and loss contingencies. Adjusted diluted earnings per share in the quarter were $0.41 cents compared to $0.29 in the same period last year, on a similar share count. Looking at our balance sheet; our prudent effort to control cost, manage our production capacity and working capital; and improve our operational efficiency has collectively allowed us to generate strong cash flow from operations and preserve substantial cash position. These include cash, cash equivalents, and short term bank deposits, and short and long term marketable securities of $155.7 million. At the end of the third quarter, we have no debt from financial institutions. And according with the company's dividend policy, and based on our net income performance during the third quarter and first nine months of 2020, our Board declared a dividend of $0.14 per share with a record date of November 18, and payment date of December 9, 2020.  As we move forward, we remain confident that the strength of our balance sheet provides us with sufficient flexibility to continue executing against our strategic plan. With that, let me turn the call back to Yuval for closing comments.
Yuval Dagim: Thank you, Ophir. In closing, we remain encouraged by the ongoing disciplined execution of our global growth acceleration plan. And we are excited by the tremendous potential of our business. I am grateful for the significant contributions of all our team members across the globe and appreciate the dedication during these unique times. Looking ahead, as we integrate Lioli and make additional progress on other initiatives under our strategy, we are confident that we are on the right path to improve the long-term trajectory of the business. Look forward to updating you further on our progress next quarter. Thank you. And we are now ready to open the call for questions.
Operator: [Operator Instructions] Our first question is from Reuben Garner with Benchmark Company.
Reuben Garner: Thank you Good morning, or I guess excuse me, good afternoon, guys. Maybe we could start with the top line trend. You mentioned an expectation that it would continue to improve in Q4, I know there's a lot of puts and takes with different countries having COVID shutdowns and that sort of thing. Maybe could you help walk through the progression month by month progression in Q3? How did the year-over-year declines improve through the quarter and what you saw in October? And in the first part of the fourth quarter so far.
Yuval Dagim: Yes, hi, Reuben. Good morning. Indeed, we are quite pleased with the sequential improvement of -- from quarter-to-quarter one our sales. Although the global sales are improving, indeed the change between the regions, but all regions are improving from the, if you like, bottom level since in April 2020 this year. We do see the improvements from quarter-to-quarter and from month-to-month and that is including the fourth quarter we just started.
Reuben Garner: And is there any way to quantify that theory? I mean, you cut your -- your cost have declined by more than half from Q2 to Q3. I mean, can we expect a similar trajectory in Q4, maybe you're down mid single digits or as we approached 2021. And then potentially next year you can return to growth.
Ophir Yakovian: We don't provide guidance for Q4, we just say that we are improving this; we do see improvement in the trend. As you mentioned, there's another one strategy is still in many parts of the global footprint, if you take Europe where we see softer shutdowns in many major countries, we mentioned Israel that we've been in lockdown since the mid September, and we still -- it was not still fully lifted. So there's going to be a cautious about providing guidance in this uncertain environment at the moment, but we do expect to see improvement in the trend year-over-year
Yuval Dagim: And also, Reuben, in line with this improvement in our strong financial results, we also released -- resume investment of some projects and resources to boost the revenues even further for next year.
Reuben Garner: Okay, I understood and I want to ask a question about that before I get there, the margin turn around in the third quarter was pretty remarkable. So can you maybe help us with kind of a bridge from it looks like the biggest change was on the gross margin front? Can you kind of bridge this from where you were in Q2 from a margin standpoint to Q3? Or is it better to look at it on a year-over-year basis, I mean, to show, you showed margin improvement year-over-year with a 13% revenue decline and just help us walk through what the different pieces are to get there, and how to think about those as we move forward.
Ophir Yakovian: Yes, I mean, we look at it compared to last year and a year-over-year basis. And I think first we are very, very pleased with the performance and cumulative gross margin. It can go from three I think main component. One is we had a better product mix; we sold the more premium product where we command the higher premium and better margins. That was the main I mean, the main component here. There was a better raw material prices coming from better sourcing and lower prices. And we've seen that improved efficiency in our operations. These are on the positive side and the main burden on the gross margin is coming from the lower sales volume, we are seeing a higher logistics costs per unit because of lower volume, we cannot fully mitigate the volume decline. And this was something that we hopefully once the volume picks up again, we see here a favorable improvement and some lower selling price and regional mix which was less favorable that was on the negative side. I would also mention here that we are still working under 70% capacity in our utilization of our factories, which is also an unfavorable impact on our gross margin. So these are the -- gross margin as we said was the main contributor for the improvement in the EBITDA improvement and the EBITDA margin. And in addition to that, we did counter steps to control cost and seen cost reduction in OpEx that was helpful to improve our EBITDA margin. Having said that, looking at Q4 we are expecting gross margin to be lower than what we've seen this quarter, but slightly better than the performance we had in Q3 and Q4 last year. In terms of the EBITDA margin, we are going to see more normalized level of sales in marketing and G&A as we are, Yuval mentioned it, we are preparing and investing in order to a boost sales in the coming period. So we need to put those investments and hence we are expecting EBITDA margin to be more similar to what we've seen in Q4, 2019.
Yuval Dagim: Reuben, if I may add another dimension to our answer. If you remember in, I made attention to the gross margin and EBITDA in Q1 in quarter one of this year's it was relatively healthy as well against the second quarter the year before. And what you see actually in Q3 is actually, leaders all around the world insist on acting with speeds and discipline to mitigate the cost and spend to the current demand. And I think it is maybe manifested in our results in Q3.
Reuben Garner: Got it. That'll make sense, it's helpful. What -- so let's, I guess, talk about those investments to drive growth. Can you can you elaborate on maybe the amount of the investment? What exactly are you investing in? Is it more salespeople? Is it just marketing in general? And then what do you expect to be the outcome? I mean is it Europe and the US increasing penetration primarily that you're focusing on? Just help us understand what the investments are, maybe quantify, if you could, and then what the benefits you expect from them?
Yuval Dagim: Sure, so maybe three areas of investment, so adding resources to boost the growth and revenues. First, we just closed the deal with -- completed the deal with the Lioli Ceramica company. So we just added another category to business addressing a bigger market now by offering porcelain and quartz to our customers in the coming years. In addition, we are continuing to invest behind our sales team in the US, mainly when we are expanding our presence in many of the markets in the US as we started to do in the beginning of the year. That's a continuous effort and we continue to do. And, of course, the few many projects that we have under the global growth acceleration plan, some of which are around the new technologies that we are adding, probably to be launched in the coming months in several markets of our to improve engagement and experience of our customers and consumers.
Reuben Garner: Okay, great. And then I'm going to sneak one more, if that's all right, the -- you just closed on that deal. Talk to me about what the pipeline looks from an M&A perspective? Do anticipate more of those how many a year, I mean, it's the size and scale of the acquisition, you just made a reasonable expectation for others in the future. And that's kind of the playbook to build out your countertop, your kind of countertops plan is to kind of pick up similar size different materials and roll them up into your distribution network.
Yuval Dagim: Yes, I may start with our mission and our mission is for Caesarstone brand to become the first brand of choice in countertop all around the world. And under this mission, we have our strategy with three main pillars. One of the pillars is having a multi material offering in a premium countertop. The other pillar is to, as I mentioned to improve consumer and customer engagement and experience and lastly to expand our global footprints and to go direct in some other markets. Obviously, our efforts in terms of M&A firstly around the multi material offering which we completed by having this in porcelain as part of offering going forward. And the other focus of ours will be on covering all our global presence in some other regions around the world where we are still working through distributors and we would like to have our own presence in the market.
Operator: Next question is from Asaf Chandali from Oppenheimer.
Asaf Chandali: Hey, guys, so first of all, just congratulations on a great quarter, despite the difficult conditions. I guess it also depends on the margin front. Gross margins for the quarter were the highest since I think about 2Q, 2018 when you look back. With this being kind of depressed levels of revenues and you also mentioning that you also have some headwinds, some lower volumes, or pricing may be some unfavorable geographic mix. Do you think that the better product mix this quarter was totally one time? Because maybe it just mixed signals because you're guiding for a lower margin sequentially, which is still solid, I guess 26.5 plus for 4Q. But how should we be thinking about a normalized run rate? Where should we be thinking about kind of where the company is -- where the goal is here for 2021 - 2022? When sales normalize, is a kind of high 20s, near term above 30 medium term?
Ophir Yakovian: That's a good question. I think that it's quite a hectic period that is changing things. And I think that the product mix that we've seen, it's hard to say whether it's something that we should expect to see in the coming quarters as well. Our estimate is that these things will normalize and we will see a more reasonable or normalized mix. Having said that, I think that we didn't change our long term goal, I think that once we back to our volume, that is a more normal like we used to see in previous cases, and not less important and even more important, we move back to a full utilization of our facilities, the long term goals that we set of 32% to 35% is something that we believe is visible and achievable. And I think that what we also saw in this quarter is that many improvements in our operational KPIs coming from our project under the global growth acceleration plan that we believe they contributed to improve our gross margin. And hence we feel that we are on the right track to get this target of goals that we set, but the main thing is to see a higher volume of sales and hopefully once the economy recovers, we get there.
Yuval Dagim: Just to support it, Asaf, with another dimension. The addition -- the latest addition to our portfolio, which is porcelain, is accretive in gross margin and EBITDA margin, and that will be contributing to our future growth of a gross margin in the future.
Asaf Chandali: Okay, great. And I know that, yes, I guess we could just kind of move toward the old economy, it kind of naturally here we can start on the financials. It's a couple of percentage points of the top line now, if I recall correctly, where do you guys want to get that? How should we be thinking about you guys growing the Lioli business should we be thinking about this year ahead? Should I be looking forward to the 20th to see what the situation is? Will I get any kind of segmentation breakdown between porcelain and quartz? Any color that would be helpful.
Yuval Dagim: Yes, sure. Obviously, it's a bit premature to give the business a bit of more color and at the moment on this new category in our business, obviously, there is the porcelain categories is expected to be growing in 10% in the coming years, so we are joining a category which is growing at the right time, we're going to be utilizing our current assets to address a bigger market size, namely our logistics food supply chain and the distribution companies that we have. So all that will be now service a bigger market with the porcelain offering. The countertop of this category will be starting next year. We are now integrating clearly to our business. And obviously next year it would be easier for us to advice on the growth and then the different launches of new products in porcelain offering.
Asaf Chandali: Okay, any specific reason that you guys had chosen porcelain? Was just that the target made sense, happen to be porcelain and it's just your first in a multi material approach.
Yuval Dagim: The multi material approach, we are -- under the strategy we are focusing on stone. And in the stone area, you have quartz which is primarily our main business, porcelain and natural stone. Porcelain is a natural fit to our business as its -- manufacture a stone is the porcelain different. So as a quartz different technology though. And so we see it as a natural fit for business. But we'll continue to look on expanding our material offering in the years to come.
Asaf Chandali: Okay, great. And I guess there's another question on the Lioli because I think as we look forward; this is going to be thought of kind of as a countertop company, and maybe less of as kind of specifically a quartz company. Are you guys, kind of -- you guys have a focus or any kind of direction as to if you want to manufacture increasingly in emerging markets. I really asked this because I think most people are aware that your core quartz business came under pressure at one point from low cost manufacturers and you being you now manufacture having a facility in India, theoretically, you could move some of your manufacturing there, maybe not near term, but any color there on where future targets would be located or where your future facilities will be located.
Yuval Dagim: Asaf, we are kind of already utilizing capacity least in the quartz and about 15% of our business has already been -- slabs volume has been acquired in China. So we are already balancing our manufacturing cost by utilizing some low cost manufacturing sites to support our competitive position in the market. Obviously, the decision to look on the porcelain production for manufacturing in a place like India is with, we've been up looking forward, if you like to make sure that we will remain competitive in the coming years in producing porcelain.
Asaf Chandali: Okay. That's helpful. I guess last question here is when we look at the sales trends on a constant currency basis for example, for Australia; the 3Q number is actually showing not much of a difference relative to where you guys were pre COVID. Even on a year-over-year basis, is this sustainable? Are you guys even having any maybe positive impact from maybe less competition from China? Because I'm looking at Australia only down 7%, those were levels; we were even seeing double digit declines in 2019. So negative 7% isn't a terrible number, any color that would be helpful.
Yuval Dagim: So two dimensions to my answer, to our answer. First, indeed we are in a stronger competitive position this year than year before in countries like Australia and Canada and Israel by utilizing our OEM supply. So we are in a better competitive position. At the same time the business environment in COVID-19 is a bit different from country to country. So at the beginning of the year, Israel and Australia were impacted less by that. And you can see that our revenues relatively strong, then with the lockdown in Victoria, which is a very long lockdown in Victoria, one of the states in Australia, there is a greater impact and now it's been ease also, it's more on the market conditions and the activity in each and every country. In Australia is having the same situation as others and we see our other demand and volume is up and down according to the market activity.
Asaf Chandali: Okay, if I could actually just ask another question, maybe the cadence of revenues through the quarter. How was July, August, September looking like? Was there a gradual improvement? How do you guys feel through now effectively the beginning of November?
Yuval Dagim: We adjusted earlier and I think I'm really happy to report that we do see a gradual improvement from month to month and obviously, from quarter-to-quarter and we expect that to be continued.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Yuval Dagim, CEO for closing remarks.
Yuval Dagim: Thank you for your attention this morning. We look forward to updating you on our progress next quarter. 
Operator: We have reached the end of our conference. You may disconnect your line at this time. Thank you and have a good day.